Operator: Good morning, ladies and gentlemen. And welcome to Spok's 2020 First Quarter Investor Call. As a reminder, today's call is being recorded. On line with us today, we have Vince Kelly, President and Chief Executive Officer; Mike Wallace, Chief Operating Officer and Chief Financial Officer. 
 At this time, for opening comments, I would like to turn the floor over to Mr. Wallace. Please go ahead, sir. 
Michael Wallace: Good morning. Thank you for joining us for our first quarter 2020 investor update. Before we discuss our operating results, I want to remind everyone that today's conference call may include forward-looking statements that are subject to risks and uncertainties relating to Spok's future financial and business performance. Such statements may include estimates of revenue, expenses and income as well as other predictive statements or plans, which are dependent upon future events or conditions. These statements represent the company's estimates only on the date of this conference call and are not intended to give any assurance as to actual future results. 
 Spok's actual results could differ materially from those anticipated in these forward-looking statements. Although these statements are based upon assumptions that the company believes to be reasonable, they are subject to risks and uncertainties. Please review the Risk Factors section relating to our operations and the business environment in which we compete contained in our 2019 Form 10-K, our first quarter 2020 Form 10-Q, which we expect to file later today and related documents filed with the Securities and Exchange Commission.
 Please note that Spok assumes no obligation to update any forward-looking statements from past or present filings and conference calls. 
 With that, I'll turn the call over to Vince. 
Vincent Kelly: Thank you, Mike, and good morning. Thanks, everyone, for joining us on our first quarter 2020 update call. I hope all of you, your friends and families are well and remain safe. So far, to the best of our knowledge, our Spok team remains COVID-19 free. Like many companies, the majority of our team is in a work-from-home posture. This pandemic has impacted the sales and installation of our software solutions. However, we have continued to operate with both our corporate goals in mind and with the health and welfare of our employees and customers at the top of our priorities list. 
 As Jill Smith, our Director of Content Marketing recently said in her blog "Every day I'm reminded that what we do in health IT matters, that although we're not on the front lines, we're not on the sidelines either. Across the country, in more than 2,200 hospitals, providers are using Spok solutions to connect with one another as they battle this insidious disease. Through our paging systems, contact center software and secure messaging applications, they're staying connected as they scramble to secure personal protective equipment, battle for testing, monitor test results and connect with patients during, what for many is, the most challenging times of their lives." This is but one example of the incredible people we have on our team at Spok. And a great respect and appreciation for what our customers, who are on the front line, are doing every day. It humbles me and puts all things into perspective. This is the foundation on which we stand. This is what drives our long-term vision, which is for Spok to become the strategic partner of choice for enterprise-grade clinical communications and patient care coordination. 
 Like many of our peers, we were negatively impacted in the first quarter as the majority of our customer base struggled with the challenges presented by COVID-19. 
 We had over 100 meetings scheduled for our annual industry conference HIMSS, and we were all set to rollout our new cloud-native platform, Spok Go. These meetings included both prospective customers for our Spok Go platform as well as strategic partners. As you know, this year's HIMSS conference was canceled due to the pandemic and that opportunity to showcase our new platform and create momentum vanished. As a result, we have withdrawn our financial guidance for 2020 until such time its visibility with respect to the pandemic and economic cycle will improve. The pandemic has certainly created a current atmosphere of anxiety and uncertainty in our customer and employee base. Our thoughts and prayers go out to those who have been both directly and indirectly affected by this tragedy. 
 Having said that, we also think this tragic situation may ultimately result in increased demand for our new cloud data platform. We believe as soon as this health care crisis is averted, health care leadership will really look at pandemic preparedness at the CEO-level initiative like never before. There will be multiple facets to it, obviously, with the federal and state initiatives that will make getting testing and supplies much more streamlined, but there's going to be a big component Spok can sell for. All of the emergency notification, rapidly changing on-call situations of staff assignments moving in and out due to illness, enterprise secure messaging requirements, alerts, critical test result modifications, you name it, it will move up in priority and that is what we do. 
 Patient access, digital transformation will still be high-interest items, but the priorities will have changed. We believe our Spok Go solution will get moved above the line with budgeting happening in the summer and fall for 2021. We believe this is a massive opportunity to specially prepare the benefits of what customers will receive every day with Spok Go in standard operating procedure times. Our company management, employee and customer DNA are grounded in software and health care. We are working with our customers and product teams to create the workflow stories now. We are actively anticipating future RFP requirements to set the buying criteria. We will work with and educate the consultants to have a CEO's ears as well. 
 In short, we believe Spok Go has a potential to be more attractive and more valuable than ever. While the situation has flowed and no one is able to predict the duration and severity of this pandemic with a high degree of certainty, let me assure you that as a company, in the near term, we are also positioned to deal with the situation. First, we have taken the necessary steps to provide for the safety of employees in order to ensure the contingency of our operations and product development efforts. Next, Spok has a stable revenue base as approximately 83% of our revenues in the first quarter were recurring in nature coming from either our legacy wireless operations or software maintenance contracts. Lastly, we provide critical functions, which we believe will become even more necessary in this environment, delivering reliable communications and clinical information to care teams when and where it matters most to improve patient outcomes. We can now do it on our state-of-the-art improved cloud native platform, Spok Go. 
 As we continue to navigate the COVID-19 pandemic, all of us at Spok remain deeply grateful for our customers and for the steps they're taking to help keep our communities safe. As always, we are committed to supporting their mission-critical communication and to help them serve their patients during this difficult time. 
 When necessary, our field technicians and members of our professional services group are on-site at various hospitals and central facilities across the country to ensure our customers have what they need to save lives. These critical tasks include ensuring hospitals have their call center equipment racked and stacked onto the network and loaded with the latest and greatest Spok componentry, and their call center operators are trained to handle critical communications whether they are on-site or working from home.
 We recently tested and ensured the Boston Convention Center, converted to handle up to 1,000 more COVID-19 patients, had strong wireless signals to confirm the caretakers can trust critical communications in their new space. Our field technicians were on-site actively confirming coverage. 
 Over the past few weeks, we've helped over 40 health systems and added 264 new licenses for some of our solutions to help support remote work and hospital-wide communications with no licensing charges during this crisis. 
 Several Spok employees are also actively working to make masks available to those who need them. One is even using a 3D printer to create mask very similar to N95 mask. It's inspiring to see the work they're doing to make such a lasting impact on our community. I can provide more examples, but what matters is that in a very difficult worldwide emergency, our team has stepped up, pitched in, help flatten the curve and mannered. I am very proud of them. 
 Also in the first quarter, we continued to execute our plan and enhanced our product offerings. We remain a debt-free company with considerable cash resources due to the disciplined manner in which we have operated over the years, notwithstanding returning over $600 million in cash to our shareholders. We have spent approximately $55 million developing Spok Go over the last 4.5 years. Of course, that investment is growing. But however, that's about $3 per share. We've distributed $84.8 million to our shareholders in dividends and share buybacks over the same time frame. That's over $4 per share. 
 During the recent quarter, we executed against our capital allocation strategy, are continuing to make key strategic investments in our business while continuing to return cash to our stockholders in the quarter in the form of our regular quarterly dividend. We were particularly pleased to see a year-over-year increase in software bookings at a very challenging selling environment. Additionally, we continue to see a more than 99% revenue renewal rate on software maintenance contracts. Similar to our wireless revenue stream, software maintenance revenue is a largely recurring revenue stream that provides the company with a more stable revenue base. 
 Now before I turn the call over to Mike to provide additional details on our financial performance, I want to briefly review some key results for the first quarter. First, software revenue of $15.9 million included continued high levels of maintenance revenue, and our remaining software backlog at March 31 was $49.1 million, up more than 30% from the prior year quarter due in part to more maintenance renewals, including multiyear agreements. 
 While our sales efforts in the quarter were negatively impacted by COVID-19, we're encouraged that software bookings included sales to both new and current customers with existing customers adding products and applications to expand their portfolio of communication solutions. 
 Second, wireless subscriber and revenue channels continue to improve and remain strong, both posted solid results for the wireless products and services in the first quarter. Gross pager placements of 24,000 were up from the prior quarter, while gross disconnects of 36,000 showed improvement on both sequential and year-over-year basis. As a result, net pager losses were 1.3% in the first quarter, down 500 basis points in the prior quarter and consistent with prior year levels. Wireless revenue decline on a sequential basis in the first quarter was 1.1%, approximately half the prior year level. Contributing to the continued low wireless revenue decline was a more stable ARPU or average revenue per unit. We were pleased to see the continuation of these positive trends, especially in our top-performing health care segment, which comprises nearly 82% of our paging subscriber base. 
 Third, we continue to demonstrate disciplined expense management. Mike will provide more details in a few moments, but I'm pleased to report that in the first quarter, adjusted operating expenses were consistent with prior year levels with improvements in many expense categories. In addition to our financial performance, we made progress in several other areas, including product development, sales strategy and key strategic partnership agreements. During the quarter, we also added more than 33 new customers to the Spok family, of which 20 were 6-figure deals. 
 We take a moment to outline a couple of those for you. First, I'd like to highlight a Texas-based academic medical center, world renowned for its research, regarded among the best in the country for medical education and for clinical and scientific training and nationally recognized for the quality of clinical care that its faculty provides to the patients. The medical center has 17,000 employees, an operating budget of $3.4 billion and 3,700 physicians, residents, fellows and graduate students. They've been a premier long-time Spok customer with multiple solutions, including operator console software, alerting, Spok Mobile and wide-area paging for more than 12 years and consider Spok a trusted adviser and partner. 
 We instituted a multilayered approach to broaden the mix of Spok solutions the customer utilize. Our sales team began to strengthen the customers' understanding of Spok's value at the clinical level while also engaging with the internal customer resources at multiple levels, including the CTO and telecom level. As a result, in March, the organization at the Spok Care Connect 1.9 upgrade has signed a 4-year partnership. 
 The next thing I'd like to highlight was a large nonprofit hospital in New York. It's both the treatment facility and academic medical center. We have 711 beds and more than 1,000 primary physicians. This medical center has been a Spok's software customer for more than 20 years and a wireless customer for 18 months. Our Spok sales team has solid relationships with key stakeholders, including their CIO, CTO and the Director of Public Assets in the Patient Experience department. Our sales team focused on building clinical relationships and showing the value to Spok Go across the medical center was able to complete the Spok Care Connect 1.9 upgrade in March. This customer is well positioned to move to Spok Go in the future. 
 Despite the challenges of the current selling environment, we believe the combination of Spok's strong team, solid financial base and broad depth of our products and services positions us to capture the opportunity in the health care sector and stimulate sustainable growth. We believe also adding to the opportunity, as we've seen in the past in similar situations is that after things normalize, there are typically new compliance and regulatory concerns that will force many health care organizations to upgrade their infrastructures. 
 I'll make some additional comments in a few minutes, but first, Mike Wallace, our Chief Operating Officer and Chief Financial Officer, will review the financial highlights for the quarter. Mike? 
Michael Wallace: Thanks, Vince. Let me give you a little more detail on our financial performance in the first quarter. I would again encourage you to review our first quarter 2020 Form 10-Q, which we expect to file later today as it contains a lot more information about our business operations and financial performance than we will cover on this call. 
 As Vince noted, we were negatively impacted in the first quarter as the majority of our customer base struggled with the impacts presented by COVID-19. It has been a challenging selling environment. And during the quarter, we were focused on understanding the impact of the pandemic on our business from both an operational as well as a sales and marketing perspective, particularly given the impact of COVID-19 on the rollout of our Spok Go software business. However, in the first quarter, we were encouraged by nearly 7% growth in year-over-year software bookings and contributions from our recurring revenue streams, which represents approximately 83% of our revenue. 
 In the first quarter, software maintenance revenue renewal rates continue to exceed 99%, and we saw lower-than-anticipated levels of churn in paging units and wireless revenue. Continued operating expense management has also allowed us to absorb the impact of our planned investments in product research and development expenses as well as the impact of COVID-19. Overall, we are encouraged by what our team was able to accomplish in the first quarter and confident in our ability to take immediate steps to mitigate the impact of COVID-19 and react to changes in market conditions where necessary. 
 Today, I will review 4 additional key areas which drove our first quarter financial performance. It include: one, a review of certain factors impacting first quarter revenue; two, selected items which influenced first quarter expenses; three, a brief review of the balance sheet; and finally, an update on our financial guidance for 2020. 
 As I outlined at the start of this call, if you have specific questions about these items or any of our quarterly financial results, please address those to Al Galgano, Investor Relations, either via phone or email. 
 With respect to revenue for the first quarter of 2020, total GAAP revenue was $37.3 million compared to $41.8 million in the first quarter of 2019. Quarterly performance was driven by a more than 30% decline in software operations revenue primarily due to contribution of license revenue and associated equipment revenue due to the COVID-19 impact primarily in the month of March. We tend to have a more immediate impact to revenue. This was coupled with lower professional services revenue due to certain customers pausing or suspending active projects due to COVID-19 and resulting governmental stay-at-home mandates. These impacts resulted in total first quarter software revenue being $15.9 million, which was down from the prior year revenue of $19.2 million. The headwinds experienced in our software business was partially offset by the continued slower-than-anticipated erosion in our wireless business, which declined only 5.4% from the prior year quarter. The continued performance in our wireless business is being driven by the combination of solid gross additions, minimization of churn with existing customers and maintaining stable unit pricing. 
 Turning to operating expenses. We continue to maintain our focus on creating efficiencies in our expense base in order to offset some of the planned increases in our product research and development category. During the first quarter, we reported adjusted operating expenses of $40.9 million, up from $38.3 million in the year-earlier quarter. Adjusted operating expenses exclude depreciation, amortization and accretion expense, and in the first quarter of 2020, include capitalized development costs. The 6.9% year-over-year increase in adjusted operating expenses was driven largely by higher cost of revenue for added professional service resources in late 2019 to drive corresponding revenue, coupled with a $1 million increase in research and development costs from the prior year. 
 In the first quarter of 2020, research and development costs totaled $7.2 million, adjusted to include the $1.7 million of capitalized development costs, which began in the first quarter of 2020 as required by GAAP. This was an increase of approximately 16% on a year-over-year basis. From quarter-to-quarter, we expect to continue to see fluctuations in research and development costs as we continue to build out and upgrade our Spok Go platform. But as discussed previously, we believe there will be a continued moderating growth rate in research and development spend as we approach a steady-state level in this expense category. 
 Our capital expenses in the first quarter were approximately $1.1 million and were in line with prior -- with the prior quarter and prior year levels. Capital expenses are incurred primarily for the purchase of pagers, network infrastructure to support our wireless customers as well as the necessary infrastructure to support our software business. We do not expect any significant changes to the level of our capital expense requirements for the balance of 2020. 
 Last, we ended the quarter with $72.7 million of cash, cash equivalents and short-term investments, down approximately $5.1 million from December 31, 2019. This along with cash on hand, was used to fund the quarterly dividend of $2.6 million, capital expenses of $1.1 million and the first quarter EBITDA loss of $2 million. We also ended the quarter with $47.5 million in deferred tax assets, virtually unchanged from the December 31, 2019, level. 
 The DTAs primarily consist of net operating losses, which will expire in the years 2025 through 2029. Based on the availability of these DTAs, we do not expect to pay a significant amount in federal income taxes for the foreseeable future as these DTAs allow us to offset virtually all of our regular federal taxable income. 
 Finally, with respect to our financial guidance for 2020, Spok has been focused on understanding the impact of the pandemic on our business. Due to the uncertainty surrounding the duration and severity of this crisis and the extremely fluid nature of the situation, we, like many of our peer public companies, believe that it is most prudent to suspend our practice of providing annual guidance for revenue and expenses at this time. We look forward to returning to our normal guidance format after the crisis has passed. 
 However, I'd like to use this opportunity to lay out what we see as the key drivers of our business going forward and our high level expectations. First is Spok's recurring revenues. We have 2 very valuable recurring revenue streams in our wireless business and software maintenance contracts, each with significant margins that together represented approximately 83% of revenues in the first quarter. 
 Next is our wireless business specifically. Our wireless customer base, over the next 10 years is expected to generate approximately $597 million in revenue based on existing trends in units and service, ARPU and churn, and we expect this business has a useful life of 30 years. 
 Third is our software business. We have a valuable software business that has approximately $70 million to $75 million of annual revenue, including a high-margin maintenance revenue stream of approximately $40 million of annual revenue with a 99% revenue renewal rate. 
 And last is our cash balances and no debt. We expect flat to slightly lower investment in the continued refinement of Spok Go for the remainder of 2020 with the tight management of cash expenses given the impact of COVID-19 and the continued payment of quarterly dividends. We believe this will allow us to main a strong cash -- maintain a strong cash position and allow us to make our investments for the balance of the year. 
 With that, I'll turn the call over to Vince, who will make some closing comments before we open it up to your questions. Vince? 
Vincent Kelly: Thank you, Mike. Before we wrap up today's call, I'd like to comment on the few governance issues. First, I want to update you on the unsolicited offer we received from B. Riley in March. Second, I want to give you our recent thoughts on our capital allocation policy. And finally, I want to highlight the recent changes to our Board of Directors as we continue to look for exceptional Board members that add expertise in health care, software, public safety and government over the past 5 years. 
 With respect to the unsolicited offer from B. Riley, on March 17, Spok announced that it had been made aware of a public announcement from B. Riley Financial for an unsolicited offer to acquire all the outstanding shares of Spok's common stock for $12 per share in cash. The offer was indeed unsolicited and no one within our organization, nor any of our advisers had any prior communication with B. Riley regarding the offer. I'd like to take this opportunity to remind stockholders that after careful evaluation, the Board of Directors is unanimous, in our belief that the indication of the interest from B. Riley severely undervalues Spok's business. As was outlined in our press release yesterday, we believe that this offer undervalued Spok given: number one, our strong cash reserves; number two, our lucrative legacy wireless business; number three, our valuable software business with a highly profitable maintenance revenue base and revenue renewal rates in excess of 99% on maintenance; number four, our Spok Go platform that is poised for growth and has been developed by Spok with significant customer interest prior to COVID-19; and number five, the value of our deferred tax assets. 
 For these reasons, the Board of Directors does not believe that the proposal from B. Riley provides adequate value for our stockholders. Further, we believe this is not the time to start a sale process for Spok and not in the best interest of our stockholders because: number one, this will be one of the singularly worst possible times in American business history to start a process to sell a company and expect to maximize the value. M&A activity is severely depressed due to disruptions to the debt and equity markets, strict restrictions on travel and the inability to conduct the meaningful due diligence on any proposed transaction and the significant distractions affecting private equity and potential strategic counterparties due to COVID-19. Number two, we are currently unable to predict or quantify the impact of COVID-19 on our business, particularly the impact of COVID-19 on the rollout of our Spok Go software business. Number three, our customers are large and midsized hospitals and systems, which are focused on patient care during this challenging time, which will affect our near-term financial results. Number four, our Board of Directors continues to believe that over the long term, our customers will further appreciate the value of our business and that brings the caregivers, getting the right message to the right person on the right device at the right time. And number five, we are focused on ensuring that our shareholders realize the appropriate value for our investment in Spok Go despite its rollout being affected by the COVID-19 pandemic. 
 Finally, in this matter, we continue to evaluate ways to deliver value to our shareholders from our software business and our investment in Spok Go. And as we've indicated in the past, we intend to carefully evaluate good faith proposals from financially capable parties that barely value Spok and the potential for stockholder value represented by our long-term investment in our enterprise, cloud-native Spok Go platform as well as our cash, our wireless and our software maintenance revenue streams. 
 With respect to our current capital allocation strategy, our overall goal is to achieve sustainable, profitable business growth while maximizing long-term stockholder value. Toward that end, the allocation of capital remains a primary area of focus. Our multifaceted capital allocation strategy has included dividends and share repurchases as well as key strategic investments that include augmenting our product, development, operating platform and infrastructure. It also includes the potential for acquisitions, as we have discussed in the past. However, for now, we've concluded the build path while taking a bit longer is far superior to the buyback due to our ability to create an integrated state-of-the-art cloud-native architecture for the future that we believe will result in an industry-leading platform for clinical communications and collaboration. 
 Additionally, as we have previously stated, we remain committed to continue paying our $0.125 per share quarterly dividend. We also continue to invest in our company to benefit the future and create long-term stockholder value. We are a company in transition and management and our Board believe that financial flexibility over the long term is important to the success of our strategy. 
 With respect to our operating posture for the balance of 2020, we intend to run the business in a cash flow positive mode as we enact cost savings measures, including furloughs to mitigate the impact of COVID-19 on our business. Furloughs will impact all levels at our organization from myself on down. While I intend to continue working, notwithstanding taking another voluntary reduction in pay as well as the 25% reduction I volunteered for last year and have continued into this year to help pay for our investment in Spok Go. All of our executives feel the same way, and we appreciate the sacrifice and hardship this may pose on our loyal employees. We are all in this together. We did not cause this pandemic, but it has impacted us. 
 Again, we intend to generate positive free cash flow from operations in 2020, regardless of the impact on sale. Since our operations will be cash flow positive going forward, we will have plenty of resources to continue paying our recurring dividend. It is not at risk. We will watch the market closely as the year progresses for signs that is opening back up for the sale and installation of our software solutions. While we don't currently expect this, if we don't see significant progress in the market opportunity, and the ability to continue to generate positive cash flow in the future, while still investing in our platform, we can aggressively rightsize our operations through a cash flow maximization model and revert to paying a consistent regular dividend and year-end special dividends with excess cash. 
 With regard to recent changes in our Board of Directors, during the first quarter, we announced that the Board had appointed Dr. Bobbie Byrne and Christine Cournoyer as directors. We also announced that Samme Thompson, a Director of Spok since 2004, will be stepping down from the Board of Directors at Spok's Annual Meeting later this year and will not stand for reelection. We are excited to have Bobbie and Chris join our Board and look forward to the depth of experience of these software and health care IT industry veterans bring. I also want to take this opportunity to say that it has been an honor and a privilege to have worked with and learned from Samme over the years. I am grateful to have worked alongside him to realize our mission to become a global leader in health care communications. 
 Wrapping up, Spok remains committed to our core values of putting the customer first, providing solutions that matter, innovation and accountability. We believe our past results and future plans reflect those values and beliefs. We believe we are worth considerably more than $12 per share that our best days are in front of us once this pandemic subsides. 
 At this point, I'll ask the operator to open the call up for your questions. We will only be responding to questions about our historical financial performance and will not be providing forecast or guidance in the middle of a pandemic. Also, with respect to the B. Riley offer, we have nothing more to add beyond what I have already said this morning and what we've said in our press releases, which were carefully and thoughtfully reviewed by our Board. [Operator Instructions] 
 Operator? 
Operator: [Operator Instructions] The first question comes from the line of [ Sid Demetnis ]. 
Vincent Kelly: Hello? 
Unknown Analyst: Can you hear me? 
Vincent Kelly: Yes. 
Unknown Analyst: Thank you, Vince and Mike for keeping everybody safe and navigating through this time. My question is what's currently preventing existing customer to migrate from your enterprise product to the Go platform? I know you built this based on the customer's mind. And secondly, is -- what is the sales strategy for the Go products, because right now your competitor also said the renewal rate is 90%. So it's a sticky business. So what's your strategy there? 
Vincent Kelly: [ Sid ], I think I heard your question. I'll try to repeat what I think you said, and if I got it wrong, just correct me. But the first one was, what was preventing us from selling our Spok Go platform. Spok Go platform sales have been put on hold because of the pandemic. Basically, these hospitals and health care institutions that were looking at the platform has frozen up. We're starting to see that actually break loose. We're actually starting to see much better traction in April. But time will tell how long this pandemic is going to impact these hospitals. They were hit by an initial wave from the pandemic, and they were literally putting tents up in parking lots and conference centers and it wasn't time to do a whole lot of new purchases. We have continued to sell our CCS 1.9 upgrade, and that is to existing customers, and that has also the gateway to our Spok Go platform. You have to have that installed first. We've had the customers not allow our professional services teams into their facilities. And obviously, you need the professional services teams to go into the facilities to install your premise-based software and that includes the CCS version 1.9. So this whole thing is still in a bit of a monkey wrench into our business plan. But we're hopeful that, that's going to be easing up and that long jam is going to break shortly. I think that gets to your question. Mike, is that what you heard? 
Michael Wallace: I think so. Yes. 
Operator: [Operator Instructions] Moving on, we have David Chanley with White Hat Capital Partners. 
David Chanley: Vince and Mike, glad to hear that you're both well and the employee base at Spok are healthy and safe. The largest shareholder on your Board is Braeside, who you settled with in 2018. It appears that Braeside standstill agreement expires today. Has Braeside elected to extend its standstill agreement with Spok? And specifically, are you expecting Todd Stein, Braeside's representative on the Board to continue as a corporate director? 
Vincent Kelly: A couple of things. I want to keep our answers, as I said in my opening comments here to our historical financial performance. However, I think Todd is a fine Director. I think he does a great job and he has my support. Thanks a lot, Dave. 
David Chanley: I was just looking for yes or no. 
Operator: [Operator Instructions] It looks like we do have a follow-up from [ Sid Demetnis ]. 
Unknown Analyst: Yes. Follow-up question is, what is the current sale strategy for the Go platform? Because it seems like your competitor also bringing out 90% renewal rates. So it seems like it's a sticky business. So -- and how do you position yourself better than some of the competitors that have equipment attached to it as well consider only the software? Is it actually better to have only the software versus selling the equipment as well? 
Vincent Kelly: [ Sid ], I really want to apologize, but I'm having a hard time understanding your question. I think you said something like with respect to a sales tax -- sales of Spok Go. So we've developed the Spok Go platform. We've been out there marketing it. We've got a very large pipeline right now. I think it's over 50 deals in the hopper right now. And I think the total is over $27 million in potential. We have to get that across the finish line, obviously, and it takes time to do that. But it's being very well received. We've built enormously flexible and powerful platform that's based on a cloud-native architecture. And we think architecture matters in the long run. We've partnered with AWS to do it. Right now it has a very strong messaging capability associated with it. It has nursing workloads, including a workflow engine associated with it. It has on-call scheduling associated with it, which is a huge issue right now inside our health care customers, and we're also building critical test results into it. There will be other service lines that we will be adding into it as the year progresses. We have shown this to many customers. They are very interested in this. We have shown these strategics. They have looked at it and told us that it's very powerful. We have shown this to huge financial sponsors that have a lot of experience in the health care industry that have said that you've built the best platform out there. So it's just a question of time. We think we've got a winner, and it will take some time. And this pandemic certainly did not help. We had 100-plus meetings scheduled at HIMSS. We have phenomenal booth space and location. But it is what it is, and we're going to make the best of it. And we're going to go forward, and we're committed to making our shareholders some money and appreciate the patience and support. 
Operator: [Operator Instructions] And next from [ AU Consulting ], we have [ Brad Gold ] 
Unknown Analyst: I'm glad that everyone is healthy. Vince, I'm just having trouble sort of rationalizing the valuation that you put on the firm in your press release of basically $3.50 for cash and $6.50 for the wireless. And in the last call, you had talked about you strongly believe that your best financial results were ahead, and you believe that remaining independent is the best way to maximize value. But as we sit here, the stock is trading at $11 basically is valuing the wireless, give or take, $20 million after the money you've invested and the amount of time that's gone on since you bought Amcom. How are we going to sort of close the gap in the value that you perceived in the company in a reasonable period of time rather than this long-term view that you keep referring to? 
Vincent Kelly: Well, I think a couple of things, [ Brad ], and thank you very much for the question. First of all, none of us could foresee this pandemic and what it was going to do to us. I'd just be totally honest. We had huge expectations from what was going to happen at HIMSS. We have huge expectations for sales on the new platform as a result of that, and all that got pushed back. We are painfully aware of everything that's going on with our stock. And we are looking very closely at lots of options, lots of things we can do to create value. We think sale in Spok Go is a very, very important way to drive our value north. We understand well the wireless business. We see this trend continuing to improve. It's going to be around a long time and has a lot of work. We've pulled some significant levers now to make sure that we are free cash flow positive going forward. So we're not going to be burning cash from operations. We will, though, however, continue to be paying our dividends as we go forward. And as I said in my comments, yes, we're going to look at this very closely for the balance of this year. And if we don't see improvement, we can't make folks happy with respect to our share price. We'll look at other alternatives, and we'll find a way to either run this thing in a free cash flow maximization model or some other way to unlock more value. It's important to me as well as a shareholder. I know it's important to you as a shareholder. Thank you for your question. 
Unknown Analyst: It's -- one thing. I appreciate the -- obviously, the virus was not anticipated. But a lot of the issues that I'm discussing were pre-virus. So for example, the stock was trading between $9 and $10 before the virus and before B. Riley's bid. So we can't just sort of say the virus is the issue. There are other sort of bigger issues that need to sort of be dealt with. And I think that most shareholders, and I'm going to be speaking for myself, and there have been some other ones who have come out publicly, the discrepancy between your share price and the value that you perceive for the firm is way, way too wide. And I think that people's patience is being pressed. So I just want to press that upon you, at least from my perspective. 
Vincent Kelly: [ Brad ], thank you very much. I don't disagree with you that people's patience is being pressed. My patience is being pressed. We are investing a lot of money to deliver this cloud-native platform. It has 0 revenue to show for it yet. That cannot continue. Either we're going to get revenue to show for it, we're going to start getting a return, get some appreciation in our share price as a result of that, but we won't be investing $28 million a year in R&D. And we'll be running cash flow maximization strategy. So I don't disagree with anything you just said. Again, we're very aware of it and we're taking steps, I feel, to address it. And there'll be more on that in future quarters and future releases for you, and we'll talk to you in July when we release our second quarter earnings, and we'll go from there. Thank you. 
Operator: [Operator Instructions] 
Vincent Kelly: Okay. Operator, thank you. That looks like that's it for the queue. I want to thank everyone for joining us this morning. And we do look forward to talking to you in July when we release our next quarter's earnings. Everyone, it's still a tough environment out there. Stay safe, and stay healthy and with your families and friends. And God bless you all. We're a great country, and we've got a great company here. We're going to get through this together. Thank you. 
Operator: Again, ladies and gentlemen, that concludes the conference. Thanks for joining. You may now disconnect.